Operator: Welcome to the Vicat 2025 Full Year Results Presentation. [Operator Instructions] Now I will hand the conference over to Guy Sidos, Chairman and Group CEO; Hugues Chomel, Deputy CEO and Group CFO; and Pierre Pedrosa, Head of Investor Relations. Please, sir, go ahead.
Guy Sidos: Thank you. Good afternoon, ladies and gentlemen. Welcome to Vicat's 2025 Results Presentation. I'm Guy Sidos, Chairman and CEO of the Vicat Group. Alongside me, I have Mr. Hugues Chomel, Deputy CEO and CFO; as well as Pierre Pedrosa, Head of Investor Relations. On Slide 2, as a preliminary remark, I would like to draw your attention to the fact that the forward-looking information presented here reflects our current assessment of expected trends across the group's various markets and should not be regarded as forecast. On Slide 3, 2025 is part of a solid and sustainable performance trajectory, illustrating the strength and resilience of Vicat's business model. Consolidated revenue amounted to EUR 3.85 billion in 2025, reflecting an average annual growth rate of nearly 7% over the past 5 years. EBITDA reached EUR 771 million which representing average growth of close to 7% over the same period. ROCE remained stable at 8.1% [indiscernible]. Lastly, the group's leverage ratio continued to decrease, reaching 1.49x in '25 [indiscernible] Vicat's financial structure. These results once again demonstrate Vicat's ability to consistently combine operational performance with financial discipline in a demanding environment. Let's move to Slide 4. As a reminder, Vicat's business model is built on several key pillars that underpin its resilience. First, a family shareholding structure and a long-term vision grounded in continuity, which enable us to pursue a consistent and sustainable industrial strategy. We are a cement-focused business and benefit from [indiscernible] high-performing industrial asset base vertically integrated across the value chain. We have [indiscernible] decentralized organization which [indiscernible] needs of a markets. [indiscernible] long standing collection of innovation [indiscernible] capabilities [indiscernible] invention of [indiscernible] in [ 1817 ] today is low-carbon cements such as [indiscernible] we're positioned as a key player of our industry in decarbonization. Firstly we benefit from geographically diversified portfolio across both developed and emerging markets. This [indiscernible] and provide a foundation for [indiscernible] model fully aligned with the ongoing [ confirmation ] of our sector. Slide 5 provides an analysis of the group's investment cycle over the past 10 years and how we have balanced our strategic priorities with financial discipline. Following an initial phase between 2015 and 2018 during which investment levels remain stable, we made the decision from 2019 onwards to accelerate capital expenditure at a time when funding conditions were [indiscernible]. Since 2023 in a context of [indiscernible] we've been to capitalize on discuss [indiscernible] [ eye catch flows ] [indiscernible] deliver of investment consistent [ reach over ] initial goals. Turning now to the key highlights of 2025 on Slide 6 in a complex international environment is a group delivered solid results. Organic revenue growth came in at 3.3%, accelerating to 8.1% in the first quarter. EBITDA reached EUR 771 million, representing organic growth of 3.7% compared to a record year in 2024. However, foreign exchange headwinds had a significant impact in a slight EBITDA decline on a reported basis. For the third consecutive year, the group generated strong free cash flow amounting to EUR 324 million in '25 and continued to reduce its net debt. [Firstly] we made further progress on decarbonization reached an important milestone in securing the financial of VAIA of flagship carbon capture project in France with the award of 2 subsidies at both the Europe and France levels. Altogether, these elements once again illustrate the strength of Vicat's model, which is able combine operational performance and [indiscernible] decarbonization. In France, as shown on Slide 7, the residential market has gone through an unprecedented slowdown and is now at the lowest level in 25 years. As far as we are concerned, we have lost [ 600, 000 tons ] of cement over the past 3 years, representing nearly 20% of our production. Despite this [indiscernible] France showed remarkable resilience in 2025. After 6 consecutive quarters of decline, volumes stabilized in the second half of 2025 at a low level with a slight rebound in the fourth quarter. While visibility remains limited, notably due to the political concept and the upcoming municipal elections in France, this development is encouraging in the context of reduced interest rates. Let me remind you that residential need in France aiming very [indiscernible] is specifically intended to address this situation [indiscernible]. As a result [indiscernible] aligning for [ moderate ] and progressive recovery from 2026 onwards. [indiscernible] long standing roots in France which represents 31% [indiscernible] revenue. A very [ bad ] capacity Vicat is very well positioned to benefit from [indiscernible]. As soon as [indiscernible] France as shown on Slide 8 it's a TELT project [indiscernible]. So this project [indiscernible] [ mature ] to [ agility ] in 2025. It is [indiscernible] largest civil engineering project and construction year ago. [indiscernible] which is commissioning of the [indiscernible] boring machines is expected to [indiscernible] cement construction in 2026. And develop [indiscernible] from '27 onwards. Overall we've [indiscernible] secured more than 1.3 million tonnes of cement. As well as around 4 million tonnes of [indiscernible] like to come into the project. I will show [indiscernible] which a [ cage ] name CO11 which we won jointly Vinci. Just [indiscernible] treatment of [indiscernible] material into [indiscernible] 24 million tons of material will be sorted with the objective of recycling of [indiscernible] and we have [indiscernible]. And today is a 10th project for [indiscernible] operation in France, it will provide [indiscernible] support to our volumes over the next 7 to 8 years. More broadly, the outlook for the infrastructure segment in France is [ promising ] with good visibility over the coming years. The launch of the French access work for TELT which is in addition to the main [indiscernible] probably near over [indiscernible] plant. [indiscernible] it's a new generation of [indiscernible] in France in [indiscernible] this are a few jump [indiscernible] activity in [indiscernible] U.S. In Brazil now on Slide 9 [indiscernible] performance in 2025 [indiscernible] market momentum and sustained [ commercial ] development in [indiscernible] and the state of Goias. In 2025 we completed acquisition of Realmix a readymade concrete [indiscernible] this [ construction ] [indiscernible] ocean and 2 additional cement and [indiscernible] use. Also you get [indiscernible] 1st of September of 2025 [indiscernible]. Realmix made with the [ automation ] [indiscernible]. In Brazil we generated EBITDA EUR 63 million in 2025. Even by your market growth. A strong performance of [indiscernible]. The contribution of [indiscernible]. It was noted on [indiscernible] on Slide 10. [indiscernible] strongly in 2025 [indiscernible] EBITDA inching EUR 58 million up by nearly [35%]. A [indiscernible] wide across [indiscernible] increased by 19% in 2025. The construction market in this region [indiscernible] demographic trends which population we are getting from [indiscernible] 2023 of stretch towards [indiscernible] . [indiscernible] in 2025 [indiscernible] project [indiscernible]. We are also seeing some production capacity being directed towards export markets, which favors domestic players such as [indiscernible]. And in the current inflation on environment who have been able to adjust of [indiscernible] protective market. On Slide 11 in Egypt, the remarkable turnaround of our performance continued in 2025. EBITDA once again increased sharply, reaching EUR 61 million, up by nearly 79%, sorry, with margin rising to 37.3%. Export volumes remain sustained and the rebound of the domestic market was confirmed in the second half of the year [indiscernible] launch of [indiscernible] projects [indiscernible] continues to [indiscernible] for the group up to [indiscernible] who potential of [indiscernible]. At this finally turned to Senegal on Slide 12. Where we are made a major adjustment over the first few years. That it was started in June 2025, [ '26 ] as continue to run [indiscernible]. Delivering first [indiscernible] financial confirmation [indiscernible]. As a reminder of [indiscernible]. high performance facility is intended to replace in 3 and 4 and to [indiscernible] and will generate cost saving of EUR 20 per ton of cement in the coming years. The ramp-up of [indiscernible] will continue this year and will be a key driver of the group's performance in Africa in '26 and '27. I will now hand over to Hugues Chomel for a more detailed review of our financial statement.
Hugues Chomel: Thank you, Mr. Sidos, and good afternoon, ladies and gentlemen. I will start with the main highlights of the group consolidated income statement on Slide 13. Revenue amounted to EUR 3.854 million, representing an organic growth of 3.3%, but remaining broadly stable on a reported basis due to a negative foreign exchange impact of EUR 242 million. EBITDA reached EUR 771 million, up organically by 3.7%, in line with the plus 2% to plus 3% target communicated last July. The EBITDA margin, therefore, stood at 20%, consistent with our medium-term priority. Net income group share increased by 6% at constant scope and exchange rates, reaching EUR 275 million. Despite a particularly negative foreign exchange impact in 2025, the quality of the group results demonstrate once again our ability to deliver solid operational and financial performance in a challenging economic environment. On Slide 14, you can see the evolution of the revenue by region in 2025 compared with 2024. At constant scope and exchange rates, the solid organic growth delivered across the group reflect contrasting trends from one region to another. France recorded a slight increase on a reported basis, supported by the gradual stabilization of the cement business in the second half of the year, as mentioned by Mr. Sidos, and by the positive contribution of the integration of Cermix since Jan 1, 2025. The Europe region grew by 7.9% on a reported basis, benefiting beyond the appreciation of the Swiss Franc from the recovery of the market in Switzerland, VGA's exposure to major infrastructure projects as well as the commercial success of our low-carbon offering. Americas posted a decrease, mainly reflecting the slowdown in United States. This decrease was, however, partly offset by the strong performance in Brazil. In U.S., interest rate remained high throughout the year, penalizing the housing sector. Uncertainty resulting from the tax and tariff changes created a climate of instability, which impacted the non-residential markets. In this environment, the group performance was contrasted across regions with growth in the Southeast and a sharp decline in California. In Asia, revenue recorded a slight organic decline of 1.5% Activity in India remained volatile due to a highly competitive environment, particularly in the south of the country, which put pressure on pricing despite an improvement in the second half of the year. The Mediterranean region stood out, delivering organic growth of more than 30%. Lastly, Africa posted a slight decrease of 2.9% despite the strong performance in Senegal, notably driven by an acceleration in aggregate sales following the restart of major public infrastructure projects. As you can see on the chart on the right of the slide, the group organic growth accelerated throughout the year, reaching plus 8.1% in the fourth quarter. Now turning to Slide 15 to the evolution of EBITDA, whose main drivers are illustrated on this chart. The increase at constant scope and exchange rates is mainly explained by a positive volume effect in cement, concrete and aggregates. Overall pricing developments allowed to offset cost increases, which were notably driven by wage inflation. Industrial performance also contributed positively, notably in Senegal. Foreign exchange had a negative impact of EUR 46 million. This reflects the depreciation of all currencies in which the group operates against the euro with a notable exception of the Swiss Franc. Let me remind you that 59% of the group revenues is exposed to non-euro currencies. Overall, EBITDA recorded a moderate decrease of 1.6% compared to 2024, which was a record year for the group. Therefore, this can be considered a very solid performance given the environment we faced in 2025. Moving to Slide 16. 2025 was also characterized by a strong cash generation. We maintained strict investment discipline. Net CapEx amounted to EUR 299 million, down compared to 2024. CapEx was split more or less evenly between maintenance CapEx and strategic CapEx, including the cash outflows related to Kiln 6 in Senegal. This discipline will be maintained in 2026 with expected CapEx of around EUR 290 million. For the third consecutive year, the Vicat Group generated strong free cash flow amounting to EUR 324 million in 2025 and illustrating the highly cash generative nature of our business model. As shown on Slide 17, this free cash flow of EUR 324 million notably reflects a further reduction in working capital requirement and as I just mentioned, control over CapEx. The cash conversion rate stood at 42% in 2025 On basis and taking into account the group's market capitalization at the end of January. Vicat free cash flow yield is around 9%, one of the highest in the industry. This highlights both the strength of our cash generation and the rerating potential that remains significant despite the share price increase over the past year. This cash generation enabled us to continue our deleveraging trajectory. As shown on Slide 18, the group net debt decreased by EUR 85 million in 2025 to reach EUR 1.151 million. The leverage ratio stood at 1.49x EBITDA, marking a further reduction in line with our priorities. On Slide 19, you can see a detailed breakdown of the group net debt at the end of 2025. It is characterized by a well-balanced maturity profile with an average maturity close to 5 years. Average interest rate was 3.86% before hedging in 2025, down significantly year-on-year. Gross cash at EUR 528 million and EUR 877 million of available undrawn credit lines, the group benefits from strong liquidity and the resources needed to continue pursuing its development. Thank you for your attention. I will now hand it back to Mr. Sidos.
Guy Sidos: Thank you, Hugues. Let me now briefly comment on Vicat's climate performance in 2025 on Slide 20. We made further progress towards our 2030 targets across all key indicators, particularly in Europe. In France, we continue to pursue a particularly ambitious trajectory [indiscernible] below 80%. [indiscernible] an increase in the alternative fuel rate to more than 70% of 5 percentage points year-on-year. This made us [ concrete ] machine [indiscernible] of their old performance. In 2026 the [indiscernible] in France focused on [indiscernible ] as well as [indiscernible] with regard to alternative fuels should accelerate the reduction of our emissions. [ Auctions ] were to extent renovation you can see 2 examples on the left-hand side of this slide. [ Product ] innovation with Progresso that makes the first concrete of Switzerland with emissions of less than 100 kilograms of CO2 [attribute] better. [indiscernible] innovation [indiscernible] catch for climate which will be [indiscernible] and aim to facilitate CO2 capture while reducing the [ costs]. You can see on Slide 21 that at the group level, low-carbon cements accounted for nearly 1/4 of total sales volume in 2025. This indicator which we are presenting for the first time today is calculated in accordance with the methodology defined by the International Energy Agency and adopted by France Ciment. In France, the commercial success of [indiscernible] continues. In Switzerland nearly 100% of [indiscernible] classified as low-carbon [indiscernible] products such as Progresso which I mentioned earlier and which is also remarkable commercial success. We're also a leading player in low-carbon cement in California and Brazil. The carbon footprint of our products continues to improve in line with our climate road map. This road map is supported by initial investments and by acceleration of low-carbon innovations. Turning to Slide 22 now. Regarding VAIA of carbon capture project in France, we reached a major of a new milestone with the award of 2 subsidies at both the European and French levels. These awards demonstrate the credibility of our approach and our commitment. I remind you that the VAIA project aims to capture and sequester 1.2 million tons of CO2 per year at the Montalieu-Vercieu cement plant largest facility in France. The captured CO2 will be transported by pipeline to Fos-sur-Mer which should then be liquefied before being shipped to its storage site in the [indiscernible] at each stage I mean [indiscernible] shipping and storage. The subsidies awarded to us for this project amount to [ EUR 340 million ] combining French [indiscernible] and the European Innovation Fund grant. [indiscernible] expected to be [indiscernible] contractual agreements of as coming months. As a reminder the estimate in investment for the [indiscernible] VAIA project alone amongst to EUR 700 million [indiscernible]. [indiscernible] essential connection for the project [indiscernible] of making the final investment decision by Jan of 2027. Slide 23 illustrates[alludes] important performance [indiscernible] walking on for many years Artificial Intelligence. Which we have to bring as an [ occasional ] tool to support our businesses. Artificial Intelligence initiatives are led by Digital Factory 1817 at the year of invention of [indiscernible] cement. [indiscernible] 22 people also works for external clients. We the [indiscernible] twofold. First, at the service of industrial performance across all cement plants. Also [indiscernible] time optimizer solution [indiscernible] productivity gains in our facilities it improves quality and enhances [indiscernible] installation. This tool as already been deployed at several pilot sites [indiscernible] in Switzerland and Kalburgi in India. And we intend to accelerate its rollout. We are targeting productivity gains of at least 5% this is a near beginning. At [indiscernible] level this tool [indiscernible] capacity by around [indiscernible] this represents [indiscernible] fund additional cement position line with a very, very [ limit ] investment. [indiscernible] AI as a powerful tool for [indiscernible] there are many potential uses cases and [indiscernible] improving concrete formulations optimizing concrete and aggregate logistics [indiscernible] for sites and those of our customers and [indiscernible] our processes. Artificial Intelligence is [indiscernible]. Turning now to 2026 on Slide 24. Growth momentum is set to continue despite persistent macroeconomic and geopolitical uncertainties and foreign exchange rates are likely to remain volatile and unfavorable. In this context, we remain confident in the group's ability to continue delivering robust performance supported by its strong operational fundamentals in 2026 at this early stage of the year we [ socially ] expect slight growth in sales on a like-for-like basis, slight growth in EBITDA on a like-for-like basis and net CapEx of around EUR 290 million. [indiscernible] capital allocation in the Slide 25 [indiscernible] free cash flow generation and consistent financial [indiscernible]. This [indiscernible] built on 3 pillars. The first pillar preservation of a solid financial [indiscernible] of strong liquidity. [indiscernible] to investment we intent to maintain the figures discipline while investing consistently [indiscernible]. Finally this [indiscernible]. dividend aim to maintain an attractive description [indiscernible] earnings information. [indiscernible] investing safety [indiscernible]. attractive return to our shareholders. So let's now move naturally to the dividend on Slide 26. Based on this 2025 results I'm confident in the group's ability to keep delivering profitable growth, the Board of Directors has decided to propose to shareholders the distribution of a dividend of EUR 2 per share, which stands out for its stable and highly predictable distribution policy. I will remind you that the dividend has never been reduced in the past few years. Let us switch to Slide 27. Vicat is proceeding consistent growth trajectory as [indiscernible] 3 mid-term [indiscernible] priorities which we are confirming to first maintain an EBITDA margin of at least 20% over the [ '25, '27 ] period. [indiscernible] continue over deleveraging. Finally [indiscernible] with strong omissions to [indiscernible]. This [indiscernible] priorities under [indiscernible] growth. On Slide 28 to conclude [indiscernible] goes in coming years we'll be super [indiscernible] drivers, several of which are already underway today. First, in 6 in Senegal, as [ Hugues ] already mentioned it is a major lever of competitiveness. That we have [ material ] impact on [indiscernible] how performance in the [indiscernible]. So once it's [indiscernible] project it's confirmation to a cement and you'll get a sales already visible and it is expected to intensify supporting our activity in France over the coming years. Also in France [indiscernible] residential market is [indiscernible] to look on which was significant [indiscernible] potential in more than 30% of [indiscernible] France. The [indiscernible] is very well positioned to benefit for this upturn when it materialize. Similarly in the US residential construction is going [indiscernible] potential of [indiscernible]. Finally the [indiscernible] significant mid-term [indiscernible] potential reconstruction needs that [indiscernible] confidence in [indiscernible] mission to pursue disciplined, sustainable and value-creating growth.
Operator: [Operator Instructions] The next question comes from Tom Zhang from Barclays.
Tom Zhang: So 3 questions from me, if I may. The first one, you've talked about significant price hike announcements in France this year. I know it's early in the year. We don't know enough about how this will develop. But I wanted to ask in your guidance for slightly higher sales and EBITDA, what kind of realized pricing are you assuming in Europe? Would that be sort of low, mid, high single digit? Some color there would be interesting. The second question, just on the U.S. You talked about price absorbing the impact of cost inflation. Could you please elaborate a bit? Should we expect positive price cost in the U.S.? And can you differentiate between the Southeast and the West Coast? And then the last one, just on CapEx. So you guide for EUR 290 million, even though we have Senegal rolling off, which I think was about EUR 50 million of CapEx. Can you just give some color on the projects that you're now investing in that means the CapEx is fairly stable? Is that mostly growth CapEx, climate CapEx, maintenance catch-up?
Guy Sidos: I will leave you Chomel.
Hugues Chomel: Tom, thank you for your questions. Indeed, we -- as you know, the French market has some specific cost drivers, the evolution of electricity cost and the start of the implementation of CBAM that push us to announce high single-digit to low double-digit price increases in the market. As you mentioned in your question, it is early in the year to tell where we stand. I would say, to mid- high single digit would be a good realization probably, and that would translate in a positive price cost differential. Regarding U.S., it is even earlier in the year to give you a solid answer. We did announce price increases in both regions, substantial. But as usual, they do apply on April 1. And our ability to get them through and to have them stick will heavily depend on market context when they roll out. And that's a little bit early for me to give you a projection on that. We assumed in our guidance, I would say, a neutral price cost differential. If they would fully materialize, that would be an upside. Regarding CapEx, indeed, we did guide to EUR 290 million, a new reduction compared to last year. This has always is including about half of maintenance CapEx, still last amount regarding Senegal with the last milestones of the contract and first acceleration in decarbonization spend to secure our 2030 objectives.
Tom Zhang: That's clear. Sorry, could I just follow-up just on the European pricing. So you very hopefully said for the U.S., you're assuming in the guidance a neutral price cost differential. And then you said mid or high.
Hugues Chomel: You talk about France, Tom, not Europe.
Tom Zhang: That was for France. Okay. So a neutral price cost differential is in your guidance for France?
Hugues Chomel: Slightly positive. And I didn't mention the Europe, which has a slightly different cost base, specifically on electricity, where we do expect a positive price environment.
Operator: The next question comes from Ebrahim Homani from CIC.
Ebrahim Homani: I have 3, if I may. The first one is on France. In France, the operating leverage is huge. In case of a 1% increase in volume, what could be the impact on the EBITDA? My second question is on Senegal. Do you confirm that the EBITDA contribution will be higher in 2026 than it was in 2025? And my last question is on CapEx. Could you give us the part of maintenance CapEx? And what's your level of flexibility to reach your 2027 leverage targets, please.
Hugues Chomel: Yes. You are right in France, we do have a high leverage -- operational leverage in cement. We as well have a large share of our activities. You will understand that this is quite sensible information. We do not disclose as is, but you can observe from the volume impact from the past years, the tremendous impact of volume fluctuation. In Senegal, indeed, as mentioned by Mr. Sidos earlier, the initial startup of the kiln was in June. It did ramp up very gradually and start to regularize a little bit in Q4. So the initial contribution comes out of Q4 only. So we do expect it to contribute more heavily and to have gradually improve both energy efficiency and alternative fuel increase. I remind you that as mentioned by Mr. Sidos during the presentation, the midterm saving objective is EUR 20 per tonne of cement sold by the facility. On CapEx, I believe I just gave the information to Tom, but indeed, we do expect about half of our CapEx to be maintenance. So roughly EUR 140 million to EUR 150 million.
Operator: [Operator Instructions]
Unknown Executive: We have 2 written questions from Investment Research. So first question on the guidance. With price increase in France, savings from the new king in Senegal, strong Egyptian exports and improving condition in Turkey, it seems organic EBITDA growth in those regions will be more than slides. [indiscernible] guidance suggest a sharp EBITDA drop in the U.S. and India? Or is it simply [indiscernible] earlier in the year with room to upgrade. I will hand it over to management for the answer.
Guy Sidos: Yes. The answer is in the question. Everything you said there is a momentum where you said, but we are very cautious at this time of year. And guidance could be disappointed, but I would like to share a few comments guidance growth of sales and EBITDA on a like-for-like basis which is expression for cautious optimism of a positive orientation of our main markets with an acceleration in H2. In France, you see after stabilizing in H2 '25, residential market is expected to continue with soft landing with a gradual recovery from '26 onward. We'll have unforgettable base of [indiscernible] each one and municipal elections for the [indiscernible] for construction. Material or quicker recovery will constitute an upside, and we expect a positive price environment. You were talking about markets believe that [indiscernible] industry market should remain well oriented [indiscernible] Senegal will benefit from the ramp-up of 6 kiln for year and India is [indiscernible] to remain volatile in a growing market so at this time of the year, we [indiscernible] opportunities this year to be more precise [indiscernible] upend actually.
Unknown Executive: Second question, how do you interpret the recent political comments in France and Germany around potentially lower CO2 prices and the ETS adjustment? What will lower CO2 price mean for your carbon capture strategy and long-term cash generation in France and Switzerland.
Guy Sidos: Well, there was remorse in fact, the [ nothing ] is changing on a short-term basis and [ nothing ] is changing on a long-term basis. Things could change on a midterm basis changed in the past. And basically it could be positive for industry to decrease the rate of -- to lower the rate of free quotas decrease. It will mean we've little bit more [ means ] to fine tune of strategy as you know this we've some of this [indiscernible] to reduce it's carbon footprint [indiscernible] of equipments [indiscernible] we place [ coal ] by [ waste ]. And then [indiscernible] and these 3 levers brings money. It's a [indiscernible] then it's last deliver is CCS or CCU [indiscernible] main project as a [indiscernible] decision will be taken at the end of '27. So we have time to fine tune [indiscernible] what's happening now about [indiscernible] this I would say, a regular adjustment of the European policy. And I feel it's positive for industry if it's like [indiscernible].
Operator: The next question comes from Tom Zhang from Barclays.
Tom Zhang: The first one was just a follow-up actually to that point on EU ETS. I hear what you're saying that perhaps not much is changing and this is, as you say, a regular adjustment of policy, but ultimately, the CO2 price has declined by 25% in the last month. How has not change in EUA prices affected your via CCS decision-making? And then the second question was just, could you speak a little bit about what you've seen in January and February so far, the run rate that we've had in Q1, how does that match against your pricing and volume assumptions, especially in France?
Hugues Chomel: Yes, thank you for your question. For the VAIA project, first of all, it's probably first reminder, our CO2 reduction objective for 2030 are based only on the 3 first layers that Mr. Sidos, presented, the traditional levels that have their own paybacks. We have said for a long time that CCS will contribute in a second step in a longer run, notably because of weaker economic model. Indeed, if carbon price comes down, that will probably lead to review the space of those projects, but we still are fully committed that both technology will be needed to reach the 2050 ambition. It's not just a matter of time, which may create opportunities in terms of technologies as well. So that's the first point. Second point regarding current trends that's very early in the year to give you comments on where we stand on pricing. I mean, we have announced them. We are, of course, getting them through, but January is never a month you can extrapolate to the full year. So I will stay away from any comment.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for the closing comments.
Guy Sidos: Hello ladies and gentlemen, thank you for joining us today. We look forward to seeing you at our Annual General Meeting on the 10th of April in [indiscernible], the beautiful department of [indiscernible]. Thank you very much. Thank you. Have a nice day. Bye-bye.